Operator: Good morning, everyone. Thank you for standing by. This is the conference operator. As a reminder, all participants are in a listen-only mode. The conference is being recorded. After the presentation, there will be an opportunity to ask questions. Should you need assistance during the conference call, you may signal an operator by pressing star and zero. I would now like to turn the conference call over to Lisa Wilkinson, Vice President, Investor Relations and Corporate Communications with Centerra Gold. Please go ahead.
Lisa Wilkinson: Thank you, operator, and good morning, everyone. Welcome to Centerra Gold's fourth quarter 2024 results conference call. Joining me on the call today are Paul Tomori, President and Chief Executive Officer, Paul Charron, Chief Operating Officer, and Ryan Snyder, Chief Financial Officer. Our release yesterday details our fourth quarter 2024 results. It should be read in conjunction with our MD&A and financial statements, both of which can be found on SEDAR, EDGAR, and our website. All figures are in US dollars unless otherwise noted. Presentation slides accompanying this webcast are available on Centerra's website. Following the prepared remarks, we will open the call for questions. Before we begin, I would like to caution everyone that certain statements made today may be forward-looking and are subject to risks which may cause our actual results to differ from those expressed or implied. Please refer to the cautionary statements included in the presentation as well as the risk factors set out in our annual information form. Certain measures we will discuss are non-GAAP measures. Please refer to the description of non-GAAP measures in our news release and MD&A issued yesterday. I will now turn the call over to Paul Tomori.
Paul Tomori: Thank you, Lisa, and good morning, everyone. In the fourth quarter, we had steady operational performance, producing over 73,000 ounces of gold and 12.8 million pounds of copper. We ended 2024 near the low end of our consolidated production guidance range. We generated strong free cash flow from both operations in the fourth quarter, driven by robust contributions from Mount Milligan, which increased our cash balance to $625 million. In 2024, we made meaningful progress in executing on our strategic plan to maximize the value of our assets. Since the restart of operations at Oak Street in June 2023, the mine has generated over $480 million of free cash flow. While at Mount Milligan, our additional agreement with Royal Gold created the opportunity to assess the mine's long-term potential. In September, we announced the restart of operations at Thompson Creek and a progressive ramp-up at Langalaba, marking a major step in unlocking value in our U.S. Millivative operations. At current metal prices, $397 million of capital investment to restart Thompson Creek is expected to be funded largely from our cash flow from operations among million and oxygen. Yesterday, we published an initial resource at Goldfield of 706,000 ounces of gold. After a thorough evaluation, we decided the resource site does not meet our requirements to support near-term development. We remain committed to maximizing the project's potential while exploring strategic and commercial options for Goldfield. Looking ahead to 2025, we're focused on Mount Milligan and Chem S, which are the foundations for our future growth. At Mount Milligan, the technical studies are progressing better than planned, and we decided to move straight to completing a pre-feasibility study for the mine. This upgrade, together with an extensive drill program planned for this year, has the objective of significantly increasing proven approval of reserves at Mount Milligan once the study results are announced in the third quarter of 2025, making another key step in unlocking the full value of this asset. Located in a top-tier mining jurisdiction. As we look to the future of Mount Milligan, the establishment of the new mining and critical minerals ministry is an encouraging step forward, demonstrating the province of British Columbia's commitment to streamlining permitting and regulatory processes for critical mineral projects, including Mount Milligan. We are optimistic about CHEMIS, which could be a future source of gold and copper production. The property has substantial gold and copper resources in a highly prospective district with significant infrastructure already in place, which includes a 300-kilometer 230 kV power line, one of the longest privately owned power lines in British Columbia. A 50,000-ton per day nameplate processing plant, which would require some refurbishment and equivalent replacements. Significantly infrastructure. Cam. Admin facilities, truck shop, Warehouse. And lastly, significant available tailings capacity through a combination of input deposition, expansion potential at the existing TSF. Last year, we started evaluating technical concepts and engineering trade-off studies for potential restart options at Chems. Early concepts include a combined open pit and conventional underground operation, which is expected to be less capital-intensive and have a better cash flow profile than the previously permitted underground block cave concept. This year, in addition to an exploration campaign to further delineate the resource, we are continuing to advance technical studies. Early indications show potential for a long-life operation that takes advantage of our significant infrastructure already in place. We expect to provide an updated resource estimate and an accompanying update on the technical concept for Chems in the second quarter of 2025. Finally, I'd like to provide an update on our sustainability initiatives. We remain committed to responsible mining and continue to make meaningful progress in our environmental and pruning efforts. At Mount Milligan, we are actively engaged with the government of BC as we prepare to submit an amended application in the coming months for permits and expansions related to our ongoing operations. I mentioned earlier, we are encouraged by the province's approach to streamline the permitting process for critical mineral mines, including Mount Willigan, going forward. At Oak Street, we successfully obtained permits for expanded infrastructure and activities in alignment with our 2023 EIA and optimized infrastructure. This was achieved through ongoing constructive engagement with government authorities, ensuring we continue to meet all operational requirements while maintaining compliance with environmental and regulatory standards. With respect to our efforts on climate change, we have completed a thorough analysis of potential greenhouse gas reduction initiatives across our operations. These findings have identified key opportunities that will help shape our long-term strategy, ensuring that we pursue emission reductions in a way that is both economically and operationally viable. And with that, I'll pass the call over to Paul Sharan to walk through our operational performance for the quarter.
Paul Charron: Thanks, Paul. On slide ten, we show operating highlights at Mount Milligan for the quarter and the full year. Mount Milligan produced almost 38,000 ounces of payable gold and 12.8 million pounds of payable copper in the fourth quarter. Full-year 2024 gold and copper production was over 167,000 ounces and 54 million pounds, respectively, which was below our guidance range due to lower grades encountered in an area of phases six and nine that are at the periphery of the ore body. Gold and copper sales were up 4% and 15%, respectively, quarter over quarter, which was anticipated due to the timing of shipments. In 2025, Mount Milligan gold production is expected to be 165,000 to 185,000 ounces, and copper production is expected to be 50 to 60 million pounds. In the fourth quarter, all-in sustaining costs on a byproduct basis were $1,114 per ounce, 15% lower quarter over quarter, driven by a decrease in sustaining capital expenditures. Full-year all-in sustaining costs on a byproduct basis were at the low end of the guidance range. The site-wide optimization program at Mount Milligan continues to progress. The site has reduced operating costs, and we continue to see productivity improvements in the load haul cycle at the mine, as well as improvements in the unit processing costs. In the full year of 2024, milling costs at Mount Milligan were $5.33 per ton processed, 7% lower than in 2023, despite a slight decrease in throughput. In 2025, all-in sustaining costs on a byproduct basis are expected to be $1,100 to $1,200 per ounce. In 2024, Centerra identified an opportunity to accelerate the use of in-pit mine potential asset-generating waste storage, which has increased the available capacity of the existing tailings facility. As a result, mine operating costs are expected to improve over the life of the mine, and there was an increase in the stated reserves at the end of 2024. This resulted in a one-year mine life extension to 2036. As Paul mentioned earlier, we have made the strategic decision to move directly to a prefeasibility study for the life of mine plan. We are optimistic the mine life can be extended beyond 2036, which is currently constrained by tailings capacity. We are evaluating options for additional tailings capacity by expanding the existing storage facility or constructing a second facility. It is also expected that the prefeasibility study will incorporate an increase of annual mill throughput in the range of 10% through ball mill motor upgrades and additional downstream flow sheet improvements, at a modest overall capital expenditure, which may also provide the benefit of improved overall recovery. The prefeasibility study and associated mineral reserves are expected to be announced in the third quarter of 2025. Now moving on to Urk Sood. On slide eleven, we show operating highlights at IRDSUIT for the quarter and the full year. Fourth-quarter production was over 35,000 ounces. OXXYT has now completed processing the excess inventory that was accumulated in 2022 and 2023. A total of 4.4 million tons were mined in the quarter, and 1.1 million tons were stacked at an average grade of 0.99 grams per ton. Full-year production in 2024 was over 200,000 ounces of gold, which was the midpoint of the guidance range. In 2025, gold production for OXXO is expected to be 105,000 to 125,000 ounces, driven by a return to normal production levels as planned. In the fourth quarter, all-in sustaining costs on a byproduct basis were $1,327 per ounce, which is higher compared to last quarter due to lower sales and higher royalty costs from the elevated gold prices, which also contributed to higher cash flows and margins. Full-year 2024 all-in sustaining costs on a byproduct basis were $1,015 per ounce, near the upper end of the guidance range. 2025 all-in sustaining costs on a byproduct basis are expected to be $1,475 to $1,575 per ounce, up year over year, primarily due to a lower production profile and partially due to the impact of inflation in Turkey, which has not been fully offset by the devaluation of the lira. On slide twelve, in the fourth quarter, we made great progress on the restart activities at Thompson Creek. Detailed engineering work for the plant refurbishment was initiated with a focus on engineering and procurement for long lead items. Mobile fleet refurbishment is on track and approximately 80% complete, with most of the work on trucks, shovels, dozers, and road graders completed. By the end of 2024, Thompson Creek had 170 people on-site, two electric rope shovels, and fourteen trucks in operation. The project schedule and costs are on track and in line with the feasibility study targeting first production in the second half of 2027. We expect to commission the remaining haul trucks, shovels, and drills to achieve the planned mine production with the ramp-up of the tons mined per month in the early part of 2025. We expect to substantially complete detailed engineering work and procurement of long lead mill equipment by the end of the third quarter of 2025. I'll now pass it to Ryan to walk through our financial highlights for the quarter.
Ryan Snyder: Thanks, Paul. Slide thirteen details our fourth-quarter financial results. Adjusted net earnings in the fourth quarter were $37 million or $0.17 per share. In the fourth quarter, sales were almost 84,000 ounces of gold and 16.4 million pounds of copper. The average realized price was $2,207 per ounce of gold and $2.88 per pound of copper, which incorporates the existing streaming arrangements at Mount Milliken. At the molybdenum business unit, approximately 2.9 million pounds of molybdenum was sold in the fourth quarter at the Langloft facility at an average realized price of $22.67 per bin. Consolidated all-in sustaining costs on a byproduct basis in the fourth quarter were $1,296 per ounce. Full-year 2024 all-in sustaining costs were $1,148 per ounce, in line with the guidance range. Slide fourteen shows our financial highlights for the quarter. In the fourth quarter, we generated strong free cash flow at both operations, driven by robust contributions from Mount Milligan. Cash flow from operations on a consolidated basis for the quarter was $93 million, and free cash flow was $47 million, which includes spending of $23 million on development costs for the Thompson Creek. In the fourth quarter, Mount Milligan generated $77 million in cash from operations and $65 million in free cash flow. In the fourth quarter, AOCSU generated $52 million of cash from operations and had free cash flow of $41 million. The Melindrom business unit as a whole used $12 million of cash in operations and had a free cash flow deficit of $35 million this quarter, mainly related to spending on the Thompson Creek restarts. Returning capital to shareholders remains a key pillar in our disciplined approach to capital allocation. In the fourth quarter, we remained active on our share buybacks, repurchasing 1.8 million shares for a total consideration of $12 million. The board also declared a quarterly dividend of CAD0.7 cents Canadian per share. In the full year 2024, we returned $88 million to shareholders, including $44 million in share buybacks and $44 million in dividends. A key focus for Centerra is returning capital to shareholders. We expect to remain active on the share buybacks, dependent on market conditions. At the end of the year, our cash balance was $625 million. This provides us with total liquidity of over $1 billion and positions us well to execute on our strategic plan and deliver shareholder value. Slide fifteen shows our 2025 outlook. This year, we expect to produce between 270,000 and 310,000 ounces of gold on a consolidated basis, driven by OxyContin to normal production. Copper production is expected to be between 50 and 60 million pounds. 2025 consolidated all-in sustaining costs are expected to be $1,400 to $1,500 per ounce, up compared to last year, driven mainly by lower gold production at Oksut and the impact of net inflation in Turkey. We remain disciplined to protect margins through our initiatives at our sites, including Aetna and Milligan through the site optimization program, which will continue in 2025. Sustaining capital expenditures in 2025 are expected to be $97 million to $119 million, and non-sustaining capital expenditure guidance is $140 million to $160 million, mainly driven by the restart of operations at Thompson Creek. In 2025, we expect an increase in volume compared to 2024 as we work to incrementally ramp up Langloft to its full capacity of approximately 40 million pounds per year over the next several years. As we previously announced in September, we expect the increased volumes in 2025 will lead to Langhwa moving to an EBITDA-positive business. We continue to invest in exploration. This year, we expect to spend $35 to $45 million, including $20 to $25 million of brownfield exploration and $15 to $20 million of greenfield and generative exploration programs. Over 80% of our exploration expenditures are expected to be expensed. We are expecting a solid 2025 with continued strong cash flow generation at our operations, allowing us to fund the restart of Thompson Creek and continue to return capital to shareholders while preserving our cash for strategic opportunities. I'll pass it back to Paul for some closing remarks.
Paul Tomori: Thanks very much, Ryan. Looking ahead to 2025, we're advancing key growth catalysts at both Mount Milligan and Chems while continuing to expand our exploration efforts. With great progress on the PFS study at Mount Milligan and ongoing technical evaluation of chemists, we remain focused on unlocking long-term value and strengthening our asset base for the future. Operator, we can open the call to questions, please.
Operator: Ladies and gentlemen, at this time, we will begin the question and answer session. If you are using a speakerphone, we do ask that you please pick up your handset prior to pressing the keys. To withdraw your questions, you may press star and two. Once again, in order to join the question queue, And our first question today comes from Lawson Winter from Bank of America Securities. Please go ahead with your question.
Lawson Winter: Hey, operator. Thank you very much. And Paul, hello. Good morning and hello to your team. Just wanted to get an idea for your thinking around growing in gold going forward. So in particular, Oxuit, you know, we saw reserves decline there. Is there an interest to expand the presence in Turkey in any way? And then when you think about, you know, Goldfield as an option that is not really there any longer. Is M&A on the table when you think about growing that core business? Thank you.
Paul Tomori: Thanks for the question, Lawson. Our principal focus, so the straight-up answer is yes. We are Center Global Corporation. We intend to keep gold as our primary metal. In terms of where we look for valuations for production assets, as you've seen in the market, are very high right now. Our first-order priority is to unlock value within the portfolio. So we think that the best path to continued gold exposure is through the extension of Milligan that we described. But also this work we're advancing at CHEMS. You probably rightly pointed out, we're putting Goldfield on the shelf right now, but CHEMS is a major area of focus. And that is a very significant mineralized asset, and we're looking at different ways to mine that doesn't involve a blockade. So first and foremost, continued exposure to gold will come through the assets that we already own. We are, though, always on the lookout for assets that may fit our portfolio and may fit our strategy. You asked about Turkey. We are committed to Turkey. We think it's a great place to operate. And should assets become available there, principally in gold, we'd certainly be interested in looking at them. And I should add that we are active on three or four greenfield exploration programs in Turkey.
Lawson Winter: Okay. That's interesting. Also wanted to, you know, just kind of stay in the capital allocation team. You guys continue to be remarkably consistent with your buyback and both the dividend. You know, since those levels of capital return were set, the gold price is a thousand dollars higher. Is the thinking evolving any further along the lines of potential higher capital return? And I know I've asked you this before, but you know, the gold price just keeps going higher and higher. And so, you know, at some point, is there a need to maybe rethink the level of the dividend or maybe, you know, get more aggressive on the buyback?
Paul Tomori: Well, we are committed to the buyback. We think that our shares are cheap, and we think that they're a great investment first and foremost. What we're doing right now, and this is a discussion we've been having over the last little while on that capital allocation point, we think that we have some credible projects potentially on the horizon here at the Milligan and CHEMS. So our preference is to allocate capital to the gold growth point to your earlier question while maintaining our current levels of dividend buyback. So to answer your question, our preference on incremental investments or capital allocation, our preference is to put those to work in gold assets. Principally, the organic opportunities but also potentially in M&A.
Lawson Winter: And then just a final question, which we often talk about, is the potential to materially increase gold recoveries at Mount Milligan. What is kind of the target now? Is that evolved in any way? Is it, you know, potentially higher than you had thought last quarter? Or even a year ago this time? And what is now the timeline on getting to a point where those gold recoveries are materially improved versus the 2024 level set?
Paul Charron: Yeah. That's a great question, Lawson, and it's a very key area of focus for us internally. So the first thing I want to say is Q4 was lower recoveries both in copper and gold, and the primary reason was you have to go back to the LOM that we negotiated with Royal Gold. What's happened is we're resequencing overall, and in periods of time like in Q4, just open up the pit, get more input, storage down the track. Opened up an area that was a little bit periphery to the ore body, and then what happened was near the surface, the oxidation partially. We were able to still put it through the plant. It was a little higher than expected, and there was some faulting that we didn't have mapped as well. So that's why Q4 was somewhat lower, but on the positive side, it is because we're expanding and we're looking at this as a twenty-year thirty-year mine life, not short term. And to really answer your question, when we expect it to get better, well, we are better than we were in Q4. And I think in terms of numbers in between, I would say, mid-sixties should be a good target. We're looking at ways that we can recover better both with the LOM work that we're doing and in the short term with a better understanding of the Geomet model and doing some better blending because there are some mineralogical changes throughout your body that we're getting better at understanding.
Lawson Winter: Okay. I look forward to watching that evolve. Thank you, Paul. Thank you both gentlemen.
Operator: Our next question comes from Jeremy Hoye from Canaccord Genuity. Please go ahead with your question.
Jeremy Hoye: Hey, Paul and team. Thanks for taking my question. Realizing it's difficult to anticipate what's going to happen over the next four years, could you comment on the potential impact of tariffs on the Elegant costs and any plans that may be put in place to alleviate those?
Paul Tomori: Yeah. Thanks for that. We're not terribly worried about the tariff situation. We've done an internal assessment, and we don't think we're really exposed. But there may be details, and Ryan, you may want to talk about.
Ryan Snyder: Sure. We've looked at our operating sites, and on the global scale, we think we're generally not going to be too adversely impacted. So 95% of Milligan's costs are from Canadian suppliers. You never know what's going to happen with supplier-to-supplier arrangements and how those costs pass through. But our supplier base is largely Canadian. And so we don't see, even in a tariff world or a retaliatory tariff world, a big change in the, like, in cost base. I think we're still hammering away at the M plus program to try to drive costs down, which offsets any cost creep that may come. So we feel pretty good about the million cost. And then all the Milligan concentrate is sold into Asia. Nothing goes into the US. So there shouldn't be any noise there. But hopefully, that answers your question, Jared.
Jeremy Hoye: It does. Thank you very much, and I'll step back in the queue.
Operator: Our next question comes from Anita Soni from CIBC. Please go ahead with your question.
Anita Soni: Hi, good morning, Paul and team. Thanks for taking the question. I just wanted to ask about the reserve and resource update. The grade increased at Mount Milligan. I was just wondering what drove that. You said drilling, but can you just give me a little bit more granularity on that?
Paul Tomori: Yep. So Paul, the question was what Anita, you're a little bit faint there, but I think your question was what drove the grade increase in the reserve at Milligan. Is that correct?
Anita Soni: Yeah. That's correct.
Paul Charron: Yeah. That's primarily the domain of where the mineral. You do get what's called soft boundaries on the domains. And then where do you actually draw that boundary? And we remodeled based on the drilling from 2023. And fundamentally, we tightened up the domain. That lowers the amount of ore and increases the amount of waste and increases the grade. And we're still working with where that balance is as we work through the ore body.
Anita Soni: Okay. I'm just wondering if you guys would did that have any impact on the near-term production profile that we should be aware of?
Paul Charron: Yeah. So that's actually one of the reasons why we didn't quite get the production that we had expected at Mount Milligan is because we did get more tons and lower grade overall. We're looking at readjusting that factor. It won't affect the overall metal, and it won't affect the strip ratio. It's really a fairly minor difference, but that's the work on the and it does vary throughout the ore body as well. So we're continuing to understand that better.
Anita Soni: Okay. I guess I'm a little bit confused now. So originally, we were talking about higher grades and sort of losing some of the waste in the ore. I'm sorry. Losing some of the waste in the lower the more marginal ore, but now, like, was it the fact that you were in Q4 with presenting sort of problems that you Okay. Yeah. I'm sure I'm not quite sure what I should do with my model at this stage.
Paul Charron: Okay. So the new model update has a higher grade because you lowered the amount of tons. And you tightened up where the mineralization occurs in the domains. And then when you go ahead and mine it, you expect to get those grades. What's happening in some areas, including phase six and nine, you mine it, and then you actually have more ore than you thought, but at a lower grade. So in essence, the mineralization is spread out over a wider area. And so that balance is what we're working through. On the reserves estimate, the grade is higher because the amount of ore is slightly less. So it's a balance between how much ore you have and how much waste you have.
Anita Soni: Okay. Got it. Did you can you tell me what kind of geostatistical model you that was for? Was it ID two, ID three? Or no kriging? Do you know? We no. We use ordinary kriging, and we use soft boundaries. So the key focus though is the mineralization domain.
Anita Soni: Okay. Alright. Thank you.
Operator: Our next question comes from Brian MacArthur from Raymond James. Please go ahead with your question.
Brian MacArthur: Good morning, and thank you for taking my question. I apologize I was cut off. If this has been answered, but I have two questions. Just first of all on Goldfields, what is the strategy now? Obviously, the resource is there, and it's not near-term development. Does that mean you're willing to sell it? Or does it just mean there's going to be some more work, or it's just going to be kind of like chemist was for your just put in the queue and hold on for a while.
Paul Tomori: I think it's more of the latter there. So we have three objectives in the year. One was to see if we can get run-of-mine recoveries because that was a check. See if we can second one was to see if we can get lower capex. That was a check. And the third was to see if we grow the resource and we didn't do it. At least it didn't meet our thresholds to continue to advance the project. So it is going on the shelf right now. You'll have seen that reflected in the impairment we took on the asset. And you also asked in there, is it open to a sale or a JV or something? What we're the phase we're in right now with Goldfield is more strategic or commercial rather than technical. But I will say there's gold in the ground there. It just it doesn't yet meet our thresholds for amount, but we aren't going to be doing a lot of drilling there. So the focus is more strategic.
Brian MacArthur: Great. Thanks. That's very clear. And just on another strategic issue, any update or comments on potentially a partner on the molybdenum operations? I mean, what's going on US. Assets may become more strategic going forward. Is there any comment you can make on that?
Paul Tomori: Well, say that we and I was saying the fact that most people don't seem to like it. We love our Merlizan business. We view it as a high return, high NPV, relatively low-risk project in a metal that is in fact strategic, particularly when you look at more macro political situations in the United States. So we really like the business. We are open to some sort of strategic outcome there. But it would have to meet our minimum requirements on valuation. And there's always interest in the assets, particularly now that we are moving forward with the project. But I'll just reiterate, we do like it. Not within the fact that it's kind of out of favor with some more general market sentiment as it relates to CENTERA. We do like the business.
Brian MacArthur: Okay. And just my final question, just on Aoxud. It was mentioned earlier, obviously, reserve life there is not that long. Is there a lot of potential to extend that? Again, I sort of of inventory, I've sort of the mine plan is sort of lost a little bit of where we are on everything, so it's sort of four or five years sort of a hundred thousand ounces now, I think. But is there anything possible to go beyond that?
Paul Tomori: I wouldn't guide you towards any significant expiration potential of that suit. However, we need to understand just how much gold is in those heaps, and there may be some potential for a period of residual leaching. Our exploration efforts in Turkey are focused, as I said earlier, on greenfield sites targets. We do see some certainly Turkey has extremely attractive geology. We're trying to take advantage of that more through a greenfield program rather than a brownfield expansion at Oak Suites.
Brian MacArthur: Great. Thanks very much for answering my questions, Paul.
Operator: Thank you. And our next question comes from Mike Parkin from Nash Bank. Please go ahead with your question.
Mike Parkin: Thanks, guys, for taking my questions. I'll start with the just given the fact we're sitting at almost three thousand dollar gold. Is there an opportunity like, there's always kind of a bit of a perfect balance on the economics on a heap. With the amount of, like, chemicals you're putting on it. But at an elevated gold price environment like we're at, is there a potential to kind of shock the pad potentially pull additional ounces out by putting in, you know, for instance, like, a higher cyanidation concentration where you might get very short-term kind of boosted recoveries that would normally, you know, not be economic, but in this gold price environment. They would probably be to drive some of that potential not expected to be recovery gold at your standard base case operating metrics, but at an elevated one, you'd get some additional ounces.
Paul Charron: Yeah. That's actually a great question, and we look at that all the time. As well as cut-off grades both at OXO and elsewhere just due to the run-up on the gold price. The sensitivity to the concentration of the cyanide and then the recovery is not all that high. So you might get a small amount of gain, but we don't really look at that because when you do the column test, there's not a whole lot of necessity to the concentration of the cyanide. With respect to recovery.
Mike Parkin: What about waste? That's about classified at a lower gold price, is there the ability to potentially reclassify some waste material as ore now?
Paul Charron: Not at Aoxu. No. I mean, in the future, you may look at cut upgrades, but really, at the end of the day, the way Oksud, the mineralogy is put together, you're not really looking at a whole lot of lower grade going into the waste dump.
Paul Tomori: So, Mike, it's not like Nevada where you have mineralized waste dumps that you could re-leach. Here, it's really it's not quite this simple, but it's either ore or waste.
Mike Parkin: Okay. And then I apologize. I joined the call a little late. I see you've got an interesting slide on chemists. Just from the cross-section, it looks like the cross-section on slide eight isn't really going through the plan kind of twenty-three year-end pit limit. So am I correct that if you move that to the assume that's Northwest the line a a, you'd actually see deeper pits pulling in more of that mineralization that you're seeing in the cross-section.
Paul Tomori: So let's just take a step backward here on CMS. So the concept that Sentera had was for a block cave, and that's to the right of that cross-section on that page. What we've done over the last six, eight months is we've relooked at all the drill data and we've recreated a sitewide resource model to see where else there might be mineralization on the property. And what we've concluded, and I think the slide illustrates that, is that we are no longer focused on the blockade, which is over on the right there. But rather on a whole string of near-surface mineralization away from what was formerly the underground concept. And by the way, away from the old Northgate pit. And so to your question, that's exactly what we're doing is we're doing a bunch of infill drilling there to see if we can connect those various open pit bull deposits the area we call the saddle there, the central area, and can we get to a fairly low strip reasonably accessible set of open pit bull resources. So our focus right now is drilling and technical studies looking at potential concepts there. And as I said in my prepared remarks, we're going to put out a resource here in the early part of the year. With some description around what we might look at. There's a lot of mineralization though at Chem S. It's a very significant mineralizing system. And the property that we control is quite large.
Mike Parkin: I might be dating myself, but I remember traveling Northgate with Chemistix and that being a bit of a cash cow of an asset for them. Where is that pit would that be on that slide or further off to the left?
Paul Tomori: No. These deposits are north and west of the old Northgate pit. They're some, like, eight or nine or ten kilometers away. And so I'm getting ahead of myself here, but what we would look at is how would we transport material from these new deposits? Should they prove up. Over towards the old pit and the old facilities and what we really like about Chems is if you were to build a fifty thousand ton a day concentrator in that part of BC today, you'd be looking at two to three maybe higher billion dollar project. What we have, and I said this in my prepared remarks, we have a power line. Probably the longest privately owned power line VC. We have an airstrip. We have a camp. We have the old process plan. And that is really valuable. That infrastructure is really valuable, and the combination of our relook at the sitewide resource model and of course higher commodity prices have given us a degree of optimism in looking at these deposits, which are not near the old Northgate. They don't I mean, they're on the property, but they're not particularly close to the old pit.
Mike Parkin: Okay. No. It's interesting. I'll look forward to the update.
Paul Tomori: Thanks, Mike.
Operator: And ladies and gentlemen, with that, we'll be concluding today's question and answer session as well as today's conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.